Operator: Good morning ladies and gentlemen, and thank you for standing by. Welcome to the New York Mortgage Trust Fourth Quarter and Full Year 2016 Results conference call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. If you have a question, please press the star followed by the one on your touchtone phone. That will place you into the queue. If you would like to withdraw your question, you may press the pound key. If you are using speaker equipment, we do ask that you please lift the handset before making your selection. This conference is being recorded on Wednesday, February 22, 2017. A press release with New York Mortgage Trust’s fourth quarter and full year 2016 results was released yesterday. The press release is available on the company’s website at www.nymtrust .com - that’s www.nymtrust.com. Additionally, we are hosting a live webcast of today’s call which you can access in the Events and Presentations section of the company’s website. At this time, management would like me to inform you that certain statements made during the conference call which are not historical may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although New York Mortgage Trust believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, it can give no assurance that its expectations will be attained. Factors and risks that could cause actual results to differ materially from expectations are detailed in yesterday’s press release and from time to time in the company’s filings with the Securities and Exchange Commission. Now at this time, I would like to introduce Steve Mumma, Chairman and CEO. Steve, please go ahead.
Steven Mumma: Thank you, Operator. Good morning everyone and thanks for being on the call. Kevin Donlon, our President and senior executives heading up our multi-family business will also be on the call and will be available to answer questions at the end of this presentation. Included in our 8-K filing yesterday was our earnings press release for the fourth quarter and full year results of 2016. Despite significant volatility in the financial and bond markets during the fourth quarter and full year 2016, the company delivered an economic return on book value of 8.41% for the full year and 0.47% for the fourth quarter. In our view, economic return on book value is one of the most important indicators of enterprise long-term viability. We strive to construct and manage a portfolio of assets that balances the generation of earnings and dividends with the preservation of book value across a wide range of interest rate and credit environments. Given the particularly volatile interest rate environment in 2016 where we saw all-time lows in the 10-year treasury yield of 1.36% in July and a high during the year of 2.60% on December 15, I am pleased with the company’s overall performance in 2016. We made a strategic decision several years ago to increasingly allocate capital to our residential and multi-family credit investments. We accelerated this portfolio transition towards credit investments and away from the leveraged interest rate trade in 2016, as evidenced in part by the internalization of our multi-family investment manager, Riverbanc. We believe that these strategic decisions have resulted in a portfolio that is constructed to deliver long-term stable returns in the future over changing economic conditions, just as it did in 2016. Moreover, our acquisition of Riverbanc has added a very capable corporate executive, Kevin Donlon, to our executive team. Along with his entire team, this acquisition positions our company as one of the leaders in direct lending and multi-family mezzanine financing. During 2016, we decreased our residential agency capital allocation by 26%, redeploying the capital in either distressed residential or multi-family assets. The increased credit concentration in our portfolio helped to mitigate the impact of the rate sell-off in the bond market during the fourth quarter as credit spreads tightened during this period, thereby partially offsetting the negative impact from our agency portfolio. For the fourth quarter, our company generated net income attributable to common stockholders of $9.7 million or $0.09 per share, including net interest income of $14.8 million and a net interest margin of 263 basis points for the quarter. For the year, the company generated net income attributable to common stockholders of $54.7 million or $0.50 per common share. We ended the year with a book value of $6.13 per common share, delivering an economic return of 0.47% for the fourth quarter and 8.41% for the year end. During the fourth quarter, we declared a dividend of $0.24 per common share, which was paid in January of 2017, bringing total dividends declared for the year to $0.96 per common share. During the quarter, the company repaid approximately $56 million of outstanding notes from a November 2013 collateralized recourse financing, which was collateralized by multi-family CMBS securities. In connection with this repayment of the notes, approximately $182 million in multi-family collateral was transferred back to the company, allowing the company to take advantage of more opportunistic borrowing options as compared to 2013, including increased borrowing advance rates, more favorable borrowing costs, and multiple options for longer term financing structures. One of the most significant events that we accomplished in 2016 was internalizing the management of the company’s multi-family investments. In May, the company acquired the outstanding common equity interest in Riverbanc, our external manager. This acquisition will allow NYMT to continue to be a significant lending force in multi-family mezzanine financing while capturing the full benefit of company ownership. In the first half of the year, the company completed our fifth distressed residential loan securitization transaction that resulted in net proceeds to the company of approximately $168 million. We funded $44 million of preferred equity investments in owners of multi-family properties and purchased approximately $82 million in Freddie Mac agency multi-family CMBS securities, taking advantage of our extensive knowledge in the Freddie Mac program from our previous investments in the Freddie Mac first loss tranches. During the year, we purchased approximately $82 million in distressed residential loans. We also purchased $188 million in non-agency re-performing and non-performing MBS securities, and sold approximately $75 million in carrying value of distressed residential loans, resulting in total proceeds of $92 million for a net gain of approximately $17 million. Looking to our capital allocation table, you will now see that we have approximately 84% of our equity invested in credit assets, including 46% in multi-family and 38% in residential credit assets. The remaining 16% in invested in our agency strategy, which includes fixed rate, adjustable rate, and interest-only agency securities. We decreased the assets in this category by approximately $194 million during the year and our equity exposure decreased by $48 million during the year. We will continue to systematically reduce the agency exposure and redeploy into credit strategies opportunistically. Our portfolio and net interest margin for the quarter was 263 basis points, a decrease of 19 basis points from the previous quarter. CPR speeds continue to remain elevated throughout the quarter with overall portfolio speeds average up almost 1% to 16.9%, but more significantly up in all three agency categories where we have the most premium risk exposure to prepayments. We plan to be substantially out of our agency exposure in 2017. Our average annual portfolio spreads decreased to 293 basis points for the year in 2016 from 368 basis points in 2015. This was due to three primary factors: portfolio turnover increasing exposure to lower yielding but higher credit quality assets which utilize leverage as part of their return and accordingly have lower net interest margins, an increase in prepayment speeds in our agency securities portfolio, and increased short-term borrowing costs. Overall average earning assets remain largely unchanged for the year at approximately $1.7 billion. Included in our press release is a detailed analysis by quarter by investment saddle for interest spread analysis for the previous five quarters. We had total interest income for the quarter of $14.8 million and $64.6 million for the year. Total other income decreased by $4.6 million for the year ended December 31, 2016 as compared to the prior year. We had a decrease in realized gains on distressed residential loans of $16 million due to decreased sales activity in 2016 as compared to the prior year. Fourth quarter interest rate volatility impacted our ability to complete a sale, which we now anticipate closing in the first quarter of 2017. This decrease was partially offset from an increase in other income of $9.7 million in 2016 which was primarily due to the income related to increased ownership of Riverbanc and the related entities that we purchased. Our total general, administrative and other expenses for the fourth quarter were approximately $7.2 million, down $1.5 million from the third quarter. Salaries, benefits and directors comp decreased by approximately $700,000, which was largely attributable to the year-end bonus compensation adjustment. For the year ended December 31, 2016 as compared to the prior year, general, administrative and other expenses decreased by $4.3 million. Salary, benefits and directors comp was driven higher during the period as compared to the prior year, primarily due to the increase in employee headcount resulting from the Riverbanc acquisition, which was offset by a $9.9 million decrease in base management and incentive fees during the year. In addition, the decline in base management fee and incentive fees was due in part to the termination of Riverbanc’s management agreement as of May 17, 2016 and lower incentive fees earned in 2016 by our other external managers. The management fees in our distressed residential loan strategy decreased due to a change in methodology for calculating base management fees from 1.5% of assets under management to 1.5% of invested capital, beginning in the third quarter of 2016. In January 2017, the company issued $138 million of five-year convertible debt instrument that resulted in net proceeds to the company of approximately $127 million after underwriting fees. The debt, which is unsecured and was sold at a discount to principal, has a total cost to the company of approximately 8.14%. This unsecured debt will be used to finance the origination of certain higher yielding investments such as preferred multi-family equity investments, the legal terms for which tend to limit our ability to use in secured financing leverage. We believe this convertible debt instrument will reduce our overall cost of capital during its outstanding term. We enter 2017 optimistic but cautious as we await the impact of the new administration’s policies on the economy, interest rate environment, and the overall regulatory environment. We will continue to focus on both residential and multi-family credit opportunities going forward in 2017. Thank you for your continued support. Our 10-K will be filed on our about Tuesday, February 28 with the SEC and will be available on our website thereafter. Operator, you can go ahead and open the questions for Kevin and myself. Thank you.
Operator: [Operator instructions] We’ll be taking our first question from the line of Eric Hagen from KBW. Your line is open.
Eric Hagen: Thanks. Good morning, Steve.
Steven Mumma: Good morning, Eric.
Eric Hagen: Good morning. How do you think about possibly hedging your exposure to the commercial market, given how tight spreads are there, and do you think we could see any noticeable weakening in the funding market for CMBS given, say, 100 basis point back-up in loan spreads?
Steven Mumma: You know, it’s interesting - we came into the fourth quarter and saw a significant rise in rates. You saw people clearly jump into wider margin and the higher yielding securities, and so you saw some spread tightening in the fourth quarter. You’ve seen some significant spread tightening in the first part of the year. You’ve seen more access to liquidity, so today, even with the back-up of 100 basis points, that would really put us back to where we were in the third quarter. If you think about a year ago in February, spreads on triple-B CMBS securities were almost 650 over, and today they’re trading at 350 over. So I think the funding market, we’re less concerned about the day-to-day funding exposure. We have access to longer term funding, both in the repo market and in the secured market that limits some of that exposure, per se. Clearly we’re sensitive to the mark-to-market, and from a hedging perspective we’re probably more focused on hedging our exposure relative to interest rates than credit spreads widening. I mean, I think most of the credit investments we’re making, both in Freddie Mac CMBS agency securities and in our direct lending, would be tough to hedge with CMBS index as well. We can make a bet on the overall market, but I’m not sure it has a great tracking record against our specific asset classes, and we would be more inclined to focus on interest rate exposure than just pure credit exposure.
Eric Hagen: Got it. There’s some basis exposure there that you don’t want to take on.
Steven Mumma: Yes. I think it’s too difficult to hedge efficiently.
Eric Hagen: Right, right. That makes perfect sense. As the agency segment continues to wind down, how do you think about possibly consolidating your other external relationships there, and how much of the agency exposure do you actually need to maintain in order to keep that REIT qualification at this point?
Steven Mumma: I mean, really we don’t need to keep any agency exposure, to be honest with you. Most of our whole pool of commitments can be met by our lending, either in direct lending in the multi-family or in our whole loan activity in distressed residential loan. So I mean, we do have some amounts--we’ll probably keep some amount of agency from a liquidity standpoint, but less concerned with keeping any significant amounts to qualify for anything from a REIT or 40 Act perspective.
Eric Hagen: Got it, and how about consolidating some of your relationships there?
Steven Mumma: Look - as we wind down the agency trade, at some point there will be a scenario where we’ll have very little activity probably with the Midway Group today as we go forward into ’17, and we could see that relationship probably getting to a point where we’ll exit that relationship at some point. They’ve been a great partner for us in a difficult environment, and in the future if we think the opportunities change, we’re 100% happy with the activities that they’ve done for us in a difficult market and we would have no problem going back into that trade in the future. But that’s something we’d see to get out. I mean, clearly we’re monitoring our distressed residential portfolio and want to make sure we get a better turnover velocity. We were disappointed in that again, not getting a trade-off in the fourth quarter. The rate environment didn’t help, and we need to get that activity more responsive and more activity turnover in the portfolio for us to continue to invest in that strategy.
Eric Hagen: Right. Well, thanks for the comments, Steve.
Steven Mumma: Thanks Eric.
Operator: Thank you. Our next question comes from the line of Ben Zucker from JMP Securities. Your line is open.
Ben Zucker: Good morning and thanks for taking my question, guys. I was curious if you could tell us when you expect to re-securitize the multi-family CMBS and what kind of rate you thought you could get, based on current market pricing. I think what you just repaid had a rate of L+525, so just trying to get a sense of the cost savings we could expect there.
Steven Mumma: Yes, that’s right. Look - when we say multiple options, not only can we do a fixed rate transaction that we think will be 150--you know, if we did a three-year financing today, it’d probably 150 to 200 lower on a floating rate basis. If we did a fixed rate, it’s probably 150 basis points lower, but we have other options to do longer term financing with banks that not only have very competitive rates but also eliminate probably 100 basis points in legal and underwriting placement fees from a securitization, and have similar types of mark-to-market risk that we would get in a securitization. So when we talk about multiple options, we really mean probably two or three different kind of secured financing options placed with a private investor, as well as multiple counterparties willing to lend one and two-year money to us on those particular asset classes.
Ben Zucker: That’s great, and do you think we’ll see that come through sometime this year, early 2017?
Steven Mumma: Yes, absolutely. I mean, I think we’re trying to figure out when we want to put the leverage on as we accumulate asset growth. Right now, we’re about $1.8 billion in assets, what we consider assets, not when you look at our balance sheet with the on-balance sheet consolidation, but when you look at our equity allocation table. We think we can get the asset balance sheet up to about $2.4 million just with what we’ve done in terms of the note that we raised as well as our borrowing capacity of assets we have on the balance sheet today, and we think that’s about the right run rate from a total leverage standpoint for the company and that puts us in a pretty scenario. So we would see scaling into that leverage as the asset acquisitions come on balance sheet.
Ben Zucker: I got you, that makes sense. This is more high level. Could you help me understand what is going on in the agency IO silo? I understand the interest rate volatility in 2016, I’m just trying to really understand the yield pattern that we saw throughout 2016 while also understanding this is part of a larger trading strategy on the whole.
Steven Mumma: The IO portfolio, which is run by Midway, is a total return strategy, so their method of running the portfolio, which has been consistent since they started the fund in 2000, is a combination of generating interest from the IOs and inverse IOs is one aspect, and then hedging that exposure with derivatives, including TBA, options on futures, et cetera, interest rate swaps. So that combination is in some periods--if you go back to 2012, ’13 and ’14 when we owned it, a significant part of the return was coming from the net interest margin, and this past year, as you can see and you’ve identified, actually in the fourth quarter we had a negative interest margin but the portfolio was still positive for the quarter because we picked it up in hedging. They are hyper-sensitive to interest rates in terms of prepayments. The prepayments have been--CPRs have been in the high teens. The portfolio from 10 to 12% delivers a very nice interest rate yield. As it starts to get north of 15%, the interest rate yield becomes difficult, so it’s been elevated about 15% for the last six quarters and that’s put a lot of pressure on the net interest margin. So they’ve offset some of that with hedging. The hedging is expensive and not always perfect, and so the more volatile the market, the more difficult it is to generate a return.
Ben Zucker: That’s very helpful, Steve. Lastly, and maybe this is for Kevin, could you provide some kind of commentary on the market in general and also the competitive landscape for mezzanine and preferred lending right now? Kind of talk about the pipeline and where you’re seeing the most competition. I’m just trying to get a sense for how quickly this line item could ramp versus CMBS and other multi-family assets. That’s it for me, guys, so thanks.
Steven Mumma: Sure. So Kevin, go ahead and answer that.
Kevin Donlon: It’s competitive. I think our biggest source of competition is common equity. A lot of times, we’ll get into deals and we’ll look at doing a slice of mezzanine and preferred equity behind the senior and the transactions, and LPs - and it’s been this way for a year - LPs in the transaction or other forms of common equity will step up and take our position. I think that that’s going to pull back. As rates move up, the senior financing proceeds will be reduced, and I also think as the stock market and other sectors of the economy do better, people want to diversify away from the real estate exposure, especially since a lot of people are competing with their smaller investors. So I think it’s positive in the future, but I think it’s fairly competitive now.
Ben Zucker: Okay, that’s great. Thanks again, guys, for the comments.
Steven Mumma: Thank you.
Operator: Thank you. Our next question comes from the line of David Walrod from Jones Trading. Your line is open.
David Walrod: Good morning.
Steven Mumma: Morning David.
David Walrod: You mentioned that you had--there was a sale of distressed residential loans that you had planned for the fourth quarter and you expect that to take place in the first quarter. Can you talk about the pipeline for other loan sales in the first quarter and maybe first half of the year?
Steven Mumma: Yes. You know, our target we talked about al last year in 2016, the goal is to really have a significant sale every quarter. We did not achieve that goal in 2016. We had a fairly large sale try to execute in the fourth quarter, and given the rate volatility that occurred in the second half of the fourth quarter, we just felt it was better to pull that, pull out of the marketplace and not try to get something closed and force a close into a volatile interest rate market, where people were taking advantage, in our opinion, of pricing. We felt like we were going to get a much better execution as we got into 2017, but the anticipation would be to have a 33% to 40% turnover of the existing portfolio throughout the year, which puts about a 10%--you know, 8% to 10% of the portfolio being sold each quarter.
David Walrod: Okay, great. Then I guess if you could just give us an update on the second lien mortgage, just what’s going on there.
Steven Mumma: Yes, I mean, we’re about--I think we finished year-end about $20 million in invested assets funded, clearly not anywhere near where we thought we would be. The back-up in interest rates into the fourth quarter will be helpful. We’ve clearly gotten far more attention on the program going into 2017. We have multiple originators that we’re in a process of bringing on-board. The fall-offs in refinancing in the marketplace, you’ve seen the refinancing index plummet, is only going to be helpful to us going forward. We have a lot of competitors entering the space that are willing to lend at much higher LTVs than we are, so we will be diligent and just try to be very selective. If we can’t get a critical mass--I mean, I think we’re at the point now over the next six months if we don’t get a critical mass of $50 million to $100 million by June, it’s something we’re probably going to look to step back from because we just can’t make it work. But we like the assets, we’re very happy with the assets that we’ve accumulated. They’ve performed exactly as expected, it’s just a matter of accumulating them. We do have a lot more attention focused on this particular asset class because for the first time in two years since we started the program, you have loan officers that can’t have the low-bearing fruit of a refinance laying up to them, so they have to work now for a living. So now they’re going out looking at doing all kinds of other type of lending strategies, one of which will be a six-term second.
David Walrod: Okay, thank you very much.
Steven Mumma: Thanks, David.
Operator: Thank you. Ladies and gentlemen, as a brief reminder, you can queue up for a question with star then one on your keypad - that’s star then one. If your question has been answered or if you wish to remove yourself from the queue, you may press the pound key. We will hold for another moment for further questions.
Steven Mumma: That’s okay, Operator. If there’s no more questions--
Operator: No questions in the queue.
Steven Mumma: Okay, then why don’t we complete the call. Thank you everyone for being on the call. We look forward to talking about our first quarter. We appreciate your support.
Operator: Ladies and gentlemen, thank you again for your participation in today’s conference. This now concludes the program and you may now disconnect at this time. Everyone have a great day.